Operator: Hello, and welcome, everyone, joining today's call, AMC Holdings Third Quarter 2025 Earnings Webcast. [Operator Instructions] Please note, this call is being recorded. [Operator Instructions]. It is now my pleasure to turn the meeting over to John Merriwether. Please go ahead.
John Merriwether: Thank you, Sabrina. Good afternoon. I'd like to welcome everyone to AMC's Third Quarter 2025 Earnings Webcast. With me this afternoon is Adam Aron, our Chairman and CEO; and Sean Goodman, our Chief Financial Officer. Before I turn the webcast over to Adam, I'd like to remind everyone that some of the comments made by management during this webcast may contain forward-looking statements that are based on management's current expectations. Numerous risks, uncertainties and other factors may cause actual results to differ materially from those that might be expressed today. Many of these risks and uncertainties are discussed in our most recent public filings, including our most recently filed 10-K and 10-Q. Several of the factors that will determine the company's future results are beyond the ability of the company to control or predict. In light of the uncertainties inherent in any forward-looking statements, listeners are cautioned against relying on these statements. The company undertakes no obligation to revise or update any forward-looking statements, whether as a result of new information or future events. On this webcast, we may reference non-GAAP financial measures such as adjusted EBITDA and free cash flow. For a full reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the Investor Relations section of our website earlier this afternoon. After our prepared remarks, there will be a question-and-answer session. This afternoon's webcast is being recorded, and a replay will be available in the Investor Relations section of our website at amctheatres.com later today. With that, I'll turn the call over to Adam.
Adam Aron: Thank you, John, and good afternoon, everyone. Thank you for joining us today. At AMC, we're especially pleased that with revenue of precisely $1.3 billion and adjusted EBITDA of $122 million, yet again for another quarter, AMC Entertainment comfortably beat Wall Street consensus assessments for both our revenue and adjusted EBITDA. As has often been the case in the recent past, AMC's leading market position and the skills demonstrated in the implementation of our numerous and important marketing, operations and cost containment strategies allowed us for yet another time to overperform the expectations of those who underestimate us. As we look at AMC's third quarter results and for that matter, the full year-to-date, calendar year 2025 is turning out exactly, and I mean exactly as we have long predicted. Due primarily to the timing of major studio film release dates, a weak first quarter was followed by a blazing hot second quarter, which then was followed by a softening third quarter. We continue to expect, however, that the year will culminate in what we hope will be quite a strong year-end in quarter 4. Hello Oz with WICKED: FOR GOOD, hello Disney's AVATAR: FIRE AND ASH, Indeed, a broad array of appealing movie titles will be coming out before year-end. Our prediction of a so-so third quarter industry box office turned out to be true as the North American box office declined some 11% following tough comparisons against last year's strong third quarter. But when evaluating AMC's performance in the context of the third quarter's challenging industry-wide environment, I see our company firing on all cylinders, marketing prowess, operational strength, financial discipline, all are direct evidence that AMC is very well positioned to capitalize on the box office growth that we believe lies just ahead. Remember that about 2/3 of our incremental revenue drops to the adjusted EBITDA line. So when industry revenues rise, which we believe they will in Q4 of 2025 and again throughout 2026, AMC's financial results should rise even more rapidly. The third quarter industry-wide softness should not be a cause for alarm nor a harbinger of some negative trend about which to hand ring or worry. To the contrary, we expect that this will turn out to be the highest-grossing fourth quarter in 6 years. We also continue to believe that the size of the 2026 box office will be dramatically larger than that achieved in 2025. There are clearly bright spots in AMC's third quarter financial results that bode well for AMC, with an expecting rising industry-wide box office in the fourth quarter of this year and again throughout 2026. Specifically, AMC outperformed the industry, achieving all-time record admissions revenue per patron of $12.25. In addition, food and beverage continues to be a shining success for us as we achieved the second highest food and beverage revenue per patron in our company's entire 105-year history of $7.74. Combining revenue increases with aggressive cost management, it is noteworthy that in the third quarter, we grew our consolidated contribution margin per patron by 9.2% compared to the prior year, and this metric is now approximately 54%, 54% higher than it was pre-pandemic in 2019. The improvements in our efficiency as a company are one of the reasons we are standing proud and tall today. Despite an industry-wide box office that was well below the third quarter of last year, AMC also generated improvements to cash used in operations and in free cash flow when compared to the same time of a year ago. And also looking at the third quarter, it is especially satisfying to us that in the United States, during the third quarter, AMC significantly increased its market share. so much so that in looking at studio-reported grosses for the full year-to-date, January to September, AMC's market share increase handily outshined that of any other movie theater circuit in the country. AMC's share now approximates 24% of the domestic box office versus 15% for Regal and 15% for Cinemark. Taking out Canada, where we have no theaters, AMC has a 27% share of the U.S. box office, Regal and Cinemark 16% each. Marcus has just under a 3% share. No other U.S. circuit has even a 2% share. AMC is now about 50% larger than our 2 next nearest competitors. And we are 10-ish times the size or more of everyone else. Our market share increases this year are encouraging to us and a sign that our strategies are working. But it is simply the outsized magnitude of our market share that is so particularly compelling because, as the box office grows over the next 14 months, as we believe it will, AMC is better poised than anyone else to reap the benefit there from. We believe all this sets us up so very well as we look ahead, given what AMC believes will be a rebounding industry-wide box office going forward, coupled, of course, with all the actions and improvements being made specifically within and across AMC theaters in the United States and Odeon Cinemas in Europe. As previously announced, perhaps more important than any other accomplishment during the third quarter, AMC successfully completed several transformative capital markets transactions that greatly strengthen AMC's financial foundation. We refinanced $173 million of debt maturing in 2026 and equitized $143 million of exchangeable debt, the latter of which, in turn, was subsequently increased to $183 million of equitized exchangeable debt without the issuance of any additional equity or additional use of cash. Going forward, we will continue to take the necessary actions to enhance our balance sheet and position AMC to capitalize on what we believe will be a multiyear industry recovery. In conclusion, let me add that we are tremendously excited about the film slate coming in the remainder of this fourth quarter, both with blockbuster titles and also with more intimate storytelling. It all starts this weekend with Disneyâ€™s action-packed PREDATOR: BADLANDS coupled with Sony Pictures Classics NUREMBERG. In November, we also will have Lionsgate â€˜s NOW YOU SEE ME NOW YOU DONâ€™T, Disneyâ€™s family favorite ZOOTOPIA 2, , Paramountâ€™s THE RUNNING MAN and Universalâ€™s acclaimed and much awaited return to Oz with WICKED: FOR GOOD. Universalâ€™s chilling FIVE NIGHTS AT FREDDYâ€™S, Paramountâ€™s animated adventure THE SPONGEBOB MOVIE: SEARCH FOR SQUAREPANTS, Focus Featuresâ€™ SONG SUNG BLUE and the third chapter of Disneyâ€™s epic saga from the mind of the legendary James Cameron, AVATAR: FIRE AND ASH. What a lineup of movies. With that and all the other highly anticipated films that will be coming out in November, December, in addition, we believe the fourth quarter box office will surpass that of last year and knocks 2025 as the largest post-pandemic box office year yet. Of course, that all depends on ticket sales in November and December. We'll all know for sure in about a couple of months. To put an exclamation point on that expected box office growth in the near term, if one sets aside the anemic first quarter of 2025, the domestic industry-wide box office has actually been on a $10 billion pace since April 1. That is a number that is still very much larger than the calendar year box office recorded for either 2023, 2024, or the current year 2025. What's more knowing of the long list of great titles coming from our studio partners in 2026, we envision a strong and robust film slate is on the horizon for the full year ahead. Sean, let's go into the quarter in more detail.
Sean Goodman: Thanks, Adam, and thanks, everyone, for joining us today. As predicted, the third quarter was relatively soft compared to last year. Nonetheless, while the North American box office was down 11%, AMC's consolidated admissions revenue was down by only 3.9% and domestic admissions revenue was down by only 5%. This reflects the meaningful growth in our market share, thanks to the power of our premium large-format offerings, unrivaled loyalty programs, innovative marketing, promotions, and pricing. This afternoon, I'd like to focus my comments on several key third-quarter performance metrics that clearly demonstrate the underlying strength of our business. Our consolidated revenue increased by 7.5% versus last year and is now 47% above pre-pandemic Q3 2019. This remarkable growth is driven by a 60.5%, that's 60.5 6.5% increase in food and beverage revenue per patron and 33.8% increase in admissions revenue per patron, all relative to Q3 2019. These are impressive metrics yet, but even more important is the incremental profit that we generate with each additional moviegoer. Our measure of this is contribution margin per patron, and we define it as total revenue minus both film exhibition and food and beverage costs divided by total attendance. In the third quarter, we grew our consolidated contribution margin per patron by 9.2% compared to the prior year, and this metric is now approximately 54% higher than in 2019. From a segment perspective, our U.S. operations delivered a truly exceptional quarter. Consider the following: in Q3 2025, our domestic adjusted EBITDA reached $111 million. This is nearly $4 million more than in Q3 2019, despite us selling $18.9 million or 31% fewer tickets than we did in Q3 2019. This achievement was possible because domestic revenue per patron was 50% higher and domestic contribution margin per patron was 57.5% higher than in 2019. Turning to our Odeon operations. The European industry was challenging in the third quarter, with attendance at our Odeon cinemas down 11.4% versus the prior year. Nonetheless, the business continued to deliver strong fundamental results with total revenue per patron up 13% and contribution margin per patron up 14.4% compared to last year. Total international revenue per patron is now up 37% versus 2019, and international contribution margin per patron is up 42.2% compared to 2019. These results are evidence that the box office does not need to fully recover to achieve pre-pandemic levels of adjusted EBITDA. This is thanks to a combination of initiatives focused on theater portfolio optimization, operational efficiencies, food and beverage innovations, industry-leading marketing programs, and the ongoing success of our AMC Go Plan. Over the last few years, we have taken meaningful steps to optimize our theater portfolio. This includes rent negotiations, the closure of underperforming locations, and selective capital deployment in new and existing high-performing locations. In 2025 alone, we closed 20 locations and we opened 3. And since January 2020, we've now closed 212 locations and opened 65 for a net reduction of 147 theaters or about 15% of our fleet. Going forward, we'll continue to strategically manage our theater portfolio to optimize profitability. Moving to the balance sheet. We ended the quarter with cash and cash equivalents of $365.8 million. This excludes restricted cash of $51.1 million. Our free cash flow in the fourth quarter will inevitably be dependent on the box office during the next 2 months. Provided this turns out in line with our expectations, we anticipate being free cash flow positive for the 9-month period ending December 31, 2025. From a capital expenditure perspective, we expect full-year 2025 CapEx net of lease incentives to be in the range of $175 million to $225 million. Our capital allocation priorities remain: one, maintaining adequate liquidity and financial flexibility; two, strengthening the balance sheet; three, elevating the guest experience; four, pursuing high-return growth initiatives. This disciplined approach to capital allocation reflects our commitment to building an increasingly strong and resilient company to deliver long-term shareholder value. Since the beginning of 2022, we've now lowered the principal value of our debt, finance leases, and COVID-related lease deferrals by nearly $1.5 billion, and we're not yet done. We'll continue to take decisive steps to strengthen our balance sheet so that we are increasingly well-positioned as the box office recovery continues. In closing, AMC's third-quarter results underscore the meaningful progress that we have made over the last few years. With promising fourth quarter already underway, a robust firm slate ahead, and an improving capital structure, we believe AMC is exceptionally well positioned to capture the full benefit of the industry's continued recovery and to deliver long-term value for our shareholders. With that, I'll pass the call back over to Adam.
Adam Aron: Thank you, Sean. Before we take your questions on this webcast, I'd like to touch briefly on 5 different points. First, AMC Theaters distribution took another bold and new step forward in the third quarter of 2025 when we partnered again with the iconic one and only Taylor Swift to highlight the debut of the 12th studio album in her astonishing career. All the planning occurred within the third quarter for our theatrical release on October 3 to 5 of the 1 weekend screening of Taylor Swift: The Official Release Party of the Showgirl. This unique theatrical event was showcased on approximately 6,500 movie theater screens in the United States and across some 56 countries, generating some $50 million in box office receipts in a weekend, $34 million domestically, and another $16 million internationally. We're proud that Taylor Swift, the official release party with Show Girl, came in at #1 in the domestic box office for its opening weekend. We're also proud that it was graded an A+ on CinemaScore and in the high 90s on Rotten Tomatoes. And as a result, that we put so many smiles on the faces of millions of Taylor Swift fans globally. These impressive results speak to the strength of AMC's innovative distribution abilities, not only bolstering AMC's results but also contributing to the health of the overall industry. The numbers of the Taylor Swift project speak for themselves. To that end, here's a number for you, 7.5. 7.5 you ask, it is incredible to think, but from start to finish, from the time of our very first phone call about this potential project to generating from some 56 countries, fully $50 million in box office ticket sales receipts, plus, of course, food and beverage revenues in addition, AMC pulled all this off in only 7.5 weeks, 7.5 weeks from first conversation to completed project. And going back to the concept of our success in increasing AMC's outsized market share in the U.S. and Canada, of course, we take some real satisfaction that our normal market share has now grown up to 24%. But on the Taylor Swift official release party of the Sogirill event, AMC's market share was an eversoullant 36%. As excited as we are by the numbers, it is especially gratifying to us that after our immensely successful 2023 experience with Taylor, she came back to AMC for another round in 2025. What a compliment it is to AMC that the Swift family was so pleased with us that they came back another time. I've said this often before, but I want to say it again. Our every interaction with Taylor, with everyone in the Swift family, and all the people in our camp, all those interactions, every single one has been nothing less than a true joy and an honor and a privilege for AMC. I say this with all the sincerity I can muster. Thank you, Taylor. We are so proud to be a small part of your team. This all leads us to believe, by the way, that while our bread and butter will always remain the vast output of the current studio system in the future, there also is clear opportunity on an incremental basis for AMC to create and distribute more theatrical content. Second point, speaking of adding more content for our screens, I am especially optimistic that we can do more on a cooperative basis with Netflix. During the third quarter, we opened a new dialogue between AMC and Netflix that led to our showing KPop Demon Hunters over Halloween weekend. Not surprisingly, given our array of theaters and our loyal customer base, AMC generated more than 1/3 of all the U.S. theater guests seeing KPop last weekend. The talks with Netflix are in their infancy, and we do not know yet the ultimate size there can be for this potential cooperation. There is much still to work out, especially, for example, on Windows. But even so, realizing that Netflix is a great company and the largest streaming service on the planet with an enormous amount of content, and that AMC is the largest movie theater chain in the world, sitting here today, I am highly confident that there is more to come with our 2 companies working cooperatively together. Stay tuned. Third, again, on generating more content, given the success we've demonstrated with Keller Swift and Beyonce, and when you factor in that we have now built the technical capability, and this is unknown to many of you, to be able to live broadcast events to 277 of our 530 theaters in the United States and to a similarly large percentage of our theaters in Europe. I believe there is dramatic opportunity for AMC to broadcast live concerts and live sporting events on our giant screens. We intend to make this pursuit one of our highest priorities for 2026. Fourth, when talking of giant screens, no one in our industry is anywhere close to AMC in the area of offering premium large-format screens, extra-large format screens, and other premium experiences. With 223 IMAX screens globally and right at around half of the IMAX screens in the United States, we are a significant recipient to share in IMAX's obvious success. Heretofore, our recent monies have been concentrated on improving the quality of our IMAX screens, enhancing them greatly through a multiyear effort to convert almost all of them to the much preferred IMAX with laser at AMC concept and format. That format includes laser projection, much enhanced sound, more attractable visual inauditorium aesthetics, and more comfortable seating. Depending upon your view of the terminology, that effort to upgrade our IMAX theaters to IMAX with laser is now either in the back stretch or the home stretch such that we are now turning our attention to another notion that we have, in fact, entered into discussions with IMAX about once again increasing the number of our IMAX locations as well. Similarly, we are so incredibly pleased with our investment in Dolby Cinema PLFs, which are doing so, so very well for AMC. We currently have 177 installed globally. And as we announced earlier this year, we are so confident in our success with Dolby Cinema that we would like to grow that count of Dolby auditoriums by around 25% over the next few years. And while today, we only have 6 ScreenX auditoriums and no 4DX auditoriums, again, early this year, we signed an agreement with CJ to exponentially increase our count of their 2 premium offerings within the AMC and Odeon fleet of theaters. Not to be outdone only by our so-called third-party PLFs, AMC also has 147 of our own house brand PLFs, primarily branded Prime in the United States and iSense in Europe. I would expect that in the next couple of years, our house brand PLF locations will also grow in numbers, and specifically that with Prime in the United States, we will double, possibly even triple, the number of our Prime auditoriums. And in a fast-moving advance for AMC, we've moved ever so quickly to introduce what we call our extra-large format screens with our new XL offerings, which I might add command a price premium in ticket price. Launched just 1.5 years ago, we already have 151 XL screens installed and delighting moviegoers, 67 in the United States and 84 in Europe. By next Christmas, that number should about double. I expect that we'll have in the vicinity of around 300 or so XL screens in full operation a year from now. You all likely know that premium large-format and extra-large format screens greatly appeal to moviegoers. But what I find particularly impressive is that we have pulled off this great commitment to increasing and enhancing our premium experiences, all the while living within our very tight $175 million to $225 million annual net capital expenditures targets. And finally, the fifth point, as you might expect, AMC is actually -- is actively canvassing how AI, artificial intelligence, can be used both to make our company more efficient, but also to dazzle our guests. We're already using AI internally in many ways, and our use cases will increase dramatically in 2026 and beyond. But especially interesting, during the third quarter, we found our first way to participate in AI-powered technology that already is dazzling those people seeking engaging out-of-home entertainment. In August, we made a single-digit multimillion-dollar equity investment in Nova Sky Stories, a company brilliantly conceived and led by its visionary founder, Tesla Board member, Kimbal Musk, and brother of Elon. Nova Sky Stories was created a few years ago when Kimbal acquired the formal aerial drone division of Intel. He has since turned its cutting-edge and leading AI-powered technology into also storytelling aerial drone shows that fascinate both free guests and paid ticket buyers alike, key in on that paid ticket buyers notion as Nova Sky Stories creatively lights up the dark evening skies with its just wonderful light shows. Nova's most recent effort was in September, a truly mind-bending Grace for the World concert and aerial drone light show that took place over St. Peter's Square in Rome in full cooperation with the Vatican in conjunction with its Jubilee. You can see footage on Disney+, which telecasted live, and stunning excerts can be found throughout YouTube. The next incredible NovaSkytory show will take place at the Rose Bowl in Los Angeles just next weekend on Saturday, November 15. For more information, check out www.novaskystories.com, that's NOVA for novaskystories.com. In addition to just investing in this company with what we expect will be its explosive growth financially in 2026 and 2027, there is much that AMC Entertainment can and will do together in cooperation with Nova Sky Stories. More details about that to come in the coming year. I'll wrap up our webcast today by saying that AMC is so very excited about the 8-week sprint that we have in front of us to finish out 2025. Over the next 2 months, it will be movie after movie after movie. I can't wait for Norberg this weekend. And I was not alone when I found my sight crying in a movie theater while I was viewing an advanced screening of Focus Features' movie coming out of Christmas, the remarkable Songsun Blue. After all, as our very own Kidman has said for some heartbreak feels really good in a place like this. And of great importance financially to AMC. Advanced bookings for Wicked: For Good are Through the Roof. They exceed the advanced bookings that we previously had at the same time before release for the original Wicked movie of a year ago, which itself was a global Triumph, both for Universal and for AMC. And then what is there to say that James Cameron, storyteller extraordinary. The entire world is on pins and needles waiting to see your latest short of the masterpiece, Avatar Fire and Ash. With that, Sean, let's go to questions from our shareholders and from analysts.
Operator: [Operator Instructions] And we'll take our first question from Eric Wold with Texas Capital Securities.
Eric Wold: A question a little bit on kind of the concessions and ticket prices. I know, obviously, you had some great success driving up the per patron spending over the past couple of years with a lot of the initiatives you've had within the theater. Just want to talk about kind of the baseline pricing kind of below the surface given the consumer environment we're in right now. Maybe talk a little bit about the pricing power, maybe the price increases that you've been kind of pushing through on both tickets and concessions. I guess starting with tickets, have you been pushing up baseline ticket prices kind of across the board? Or has the focus mostly been on the various premium pricing options, IMAX, and consumers kind of choose to pay the higher prices for the premium auctions versus raising prices across the board on all tickets? And then on concessions, kind of what are your thoughts on kind of price increases up and beyond the need to offset kind of inflationary headwinds right now, if you feel that's something that moviegoers would be accepting in this environment or if that's something that you think is kind of -- that maybe kind of need to wait a little bit as we get a little further into '26.
Adam Aron: That's a question. Thank you, Eric. Nice to talk to you again, as always. I have to be very -- we're happy to talk to the point, but I got to be very careful because to talk about pricing thoughts on a going-forward basis because that could be interpreted to mean signaling to competitors. But I can comment on our pricing actions previously, and you can read into those whenever you want to read into those. If you look at our ticket pricing of $12.24 that was achieved in the third quarter, which is on a consolidated basis, it was the highest number we've ever had in our history. And if you look at our ticket pricing, it's risen pretty substantially over the past several years. It's moved in the past much faster than general consumer inflation. And I would especially point you not only to looking at our consolidated prices, but looking at our prices by geographic segment. Our prices have increased in Europe and our prices have increased in the United States as well. But I think what's really interesting is, yes, some of those price increases derive from our growing commitment to PLFs. But we've also not been shy in taking ticket pricing up. And in fact, if you go back to May of 2025, just 6 weeks before the third quarter began, knowing that we had some big movies coming in June and July, we did take across-the-board price increases, not at all of our theaters in the United States, but I would say most of our theaters in the United States. And those price increases vary theater by theater and market by market. But prices did go up. And they went up because we think -- again, I want to be careful only to talk about what we've done looking backwards, not looking forward. Our thoughts then were we ought to cleverly price. It goes back to your very first economics class in the Freshman college when you learned the laws of supply and demand and the laws of charging prices in the peak and charging different prices in the so-called off-peak, charging more in periods of high demand and charging less in periods of low demand. So we have not been shy in taking prices up at those theaters with the most demand. We have not been shy in taking prices up on Friday and Saturday nights when demand for our theaters is at their peak. But one of the things that gave us comfort in being able to put those prices -- those price increases into place is that we also have been maniacal in finding intriguing ways to discount prices for bargain hunters. And the 2 biggest examples that come to mind are A-List. We now have almost 1 million members of our A-List program. And those people, it's out of -- this is -- we have a similar program in Europe, I might call limitless. But just talking about A-List in the United States. It's only 1 million consumers, just under. So only 1 million consumers out of a population of 330 million people. But these people account for 15% of our total patronage at AMC. That's like an incredible number from only 1 million people. And those people are paying between $20 and $28 a month. And on average, they're seeing 2.4 movies a month on average. But they're entitled to see 4 movies a week. That's theoretically 17 movies a month. And they're getting all that for -- depending upon what geographic market they live in, between $20 and $28 a month. For people who want to seek out a bargain, that's a good bargain. The second bargain that comes to mind in what I think was a bold initiative by AMC that was announced effective with Tuesday, July 8, and Wednesday, July 9, and what we said would be a permanent feature going forward. We expanded our long-time discount Tuesday offering for AMC Stubs members to discount Tuesday and discount Wednesdays for AMC Stubs members. Now it's free to join AMC Stubs, and you can do it instantly merely by giving us your e-mail address. So anybody who wants to take advantage of the new Tuesday, Wednesday discounts can do so. We stepped -- we made the level of the discount much more dramatic by positioning it as a 50% discount to the typical evening list price on a standard auditorium. So it's a powerful discount. It's available on twice the number of days per week that it was for the last 15 or so years when the movie industry thoroughly had discount Tuesdays. The fact that we now have 50% off Tuesdays and 50% off Wednesdays also is a tremendous enrollment device to encourage moviegoers to join AMC Stubs because they only get the discount if they're AMC Stubs members. But as I said, you can easily and instantly join. And so like AMC is committed to offering bargains -- but we're also -- we've also proven in the past that we believe we not only can offer premium experiences, which in themselves command premium prices, but we believe and we demonstrated through our past actions, again, not signaling about the future, that we are willing and able to raise price across the board. As for food and beverage pricing, I'll let Sean talk to that and our otherwise compression strength in the area of concessions.
Sean Goodman: Thanks, Adam. Clearly, food and beverage is a key focus area for us, as one would expect, right, because of the profitability of that segment. And when we look at our food and beverage business, the key drivers of our food and beverage per person are the percentage of people participating going to the concession stands and buy food and beverage, the number of units that they buy when they go to the concession stand, and the price they pay. And if you look at the increase in food and beverage per person versus pre-pandemic levels, all 3 of those factors, all 3 participation units per transaction, and price has been part of that significant increase in food and beverage. If you look just at Q3, then in Q3, the percentage participation and the price were the biggest drivers of our food and beverage increase. To drill down on the price aspect of that food and beverage per person in a little more detail, I think there's a couple of factors here. One is the price is impacted by mix, right? What are our guests buying. And as we've added collectible concession vehicles, we increasingly focused on movie-themed drinks and movie-themed cocktails, that's really helped to increase the price, even if actually the price for the regular item hasn't changed that you have that positive mix impact, and we see that still being very, very beneficial for our business. The other thing to say about price is we've been very analytical with the data that we have on pricing. So really looking at individual theaters, individual market locations, where can we take price, where should we reduce price. We're very focused on that. And then we're always offering opportunities in discounts, as we spoke about the discount days, if you look at the food and beverage, we have discount food and beverage offerings on those discount ticket days as well. So there's something available for the consumer in. But again, it's sort of food and beverage is really critical to our business and been a big part of why we've been so successful in our per-person metrics as we've gone through the recovery.
Adam Aron: And if I can add, Eric, sort of I think getting to the thrust of your question as opposed to the factual answers, I think you were trying to inquire, do we think with angst in the general economy, and like are we somehow constrained by consumer sentiment that somehow our pricing actions will be limited. And again, I don't want to make any kind of speculative comment about what we will do in the future. But I would like to point out this fact. I don't feel -- I think we have to be -- I always say you want to be prudent in not taking prices up too quickly. But I don't feel any price limitation from our clientele. The fact that our premium screens sell out first tells us something. The fact that we introduced 151 XL screens that already were screens that already existed in our theaters. They are bigger than the other screens in our theaters, and we just slot the XL logo on the door to remind people it was a bigger screen and that we're able to command almost a 10% price premium from those XL screens. But here's one other little factoid that shows you that I believe that our consumer is willing to pay for what we offer. Our merchandise business was literally nonexistent 3 years ago. nonexistent. I mean, like $0 in revenue for merchandise. This year, 2025, globally, U.S. and Europe combined, it's going to be over $65 million. And if you look at the price points of some of these merchandise items that we're selling at the concession stand, it's not hard to find items that are priced at $15.99, $19.99, $29.99, more than $30 a pop. And like literally, one of our biggest problems is that we're selling out too quickly. We are often sold out. We're sometimes ordering 50,000, 100,000 of these units in the United States alone, and we're selling out on the first night or 2. It's a high-class problem. And you do have to order this stuff 9 months in advance and get it shipped in economically. But I mean, it's just another example. Consumers are willing to reach into their pockets to pay us for the experience that we offer, provided that we do a good job of it. And that's why we work so hard to keep our theaters in good shape. That's why we work so hard to keep our film crew staff motivated and treating our guests well. And just look at the results. highest ticket prices in our history, second best food, and revenues per patron -- I guess it's ticket prices per patron in our history, second highest food and beverage revenues per patron in our history achieved in this third quarter. With that, operator, I think we're going to turn to some shareholder questions. Sean, what's the first question from our shareholder base?
Sean Goodman: Yes. There's been a lot in the press about the Warner Bros situation, and people are interested in what our comments on that are.
Adam Aron: So it's a little premature to speculate about what's going to happen at Warner Bros. There are some obviously who believe that Warner Bros will stay independent. There are others who obviously are aware of Paramount's repeated offers. There are other potential suitors for Warner who seem to be emerging. Let me just say this because it's not a reality yet, and so there's no real need to speculate too much. I would like to comment that AMC is thrilled beyond thrilled that David Ellison and his organization, led by Jeff Shell, have bought Paramount. We think they're going to do a spectacular job, and they have committed to greatly increasing the movie count that Paramount will be releasing going forward. Paramount was down to 7 movies a year. We think that Paramount is on record as saying they want to more than double that movie count as quickly as they can under the ownership of David Ellison. Similarly, Warner Bros has told us that they also -- I think they were down to 11 movies in 2025. And they also would like to be and are committed to increasing the release of more movies in 2026 and beyond. That also is very good for AMC. So I guess with respect to any potential studio consolidation, our attention will be laser-focused on one issue and one issue only. And that is the count of movie releases that's coming up from studios. Clearly, if it's more movies, that's good for AMC. And if it's less movies, that's not as good for AMC. So we're watching closely. And what we're watching more than anything else is will the number of movies being issued going forward go up or not. Next question.
Sean Goodman: We've had -- and we were just talking about it a few moments ago, we've had a couple of quarter-after-quarter of really, really strong performance metrics for the business. And kind of related to the question we just discussed as well is people are asking how sustainable is that? Can we continue to keep these key performance metrics at this high level as the industry box office continues to recover?
Adam Aron: I'm completely convinced that we can keep these metrics strong, that they are, in fact, not flukes but sustainable and that we can grow them. And what gives me that confidence is we've been growing them now for 6 years, since 2019, or really in the last 3 years since the box office sort of got semi-respectable post-COVID. And we apply as a company so much attention and brainpower, mental acuity to getting those metrics up. They didn't happen by accident. And we'll apply that same emphasis on keeping those metrics strong and growing, looking ahead. There are 2 numbers that kind of fed my head more than anything else about how AMC survived the last 5 years, because look, I mean the industry box office is still 20% down from pre-pandemic levels. That's a problem. Some people don't want to admit that's a problem, but that's a problem. It would be much easier for us if we can see the box office grow to what we hope will be a much larger pace in 2026 than it's been in the last 3 years. And as I said in my prepared remarks, if you look at the 9-month period from April 1 to December 31, 2025, the industry has not been on the $9 billion pace that it will probably be on for 2025 calendar year, but a $10 billion pace. And it sure be nice if that's the pace that we have going forward. In a rising box office environment, AMC does very well because 2/3 of our incremental revenue drops the EBITDA line. It's not a linear relationship between rising box office and rising EBITDA. It's an exponential relationship between rising box office and EBITDA. So the same attention that we're paying to keeping these metrics strong comes much more easily in a growing box office. The other metric, the number that -- or I said there are 2 numbers that float in my head. Look at our contribution per patron. Our contribution per patron pre-pandemic 2019 versus say, it's up 54% in 6 years, 54% increase in contribution. We would not be alive today had it not been for our ability to increase our contribution margin by 54%. We are simply a much more efficient operator than we were pre-pandemic, and we don't need the box office to come all the way back to pre-pandemic levels for us to be very successful at the EBITDA line. This other number that floats in my head, of course, is we raised $4.5 billion of equity over the past 6 years and $2 billion of debt, which we have since repaid off not only the $2 billion that we raised, but we paid off more than $1 billion more than that. So our debt levels are actually lower today than they were going into the pandemic. But we still owe so much gratitude to our shareholder base, especially our retail shareholder base, who stayed with us all these years because their belief in our future, their willingness to let equity come into our coffers to keep our cash reserves robust and healthy and strong are why we made it. Next question.
Sean Goodman: Do you want to comment a little bit about the M&A environment? We recently noticed Connapolis' acquisition of Imagin Entertainment, and any thoughts on the M&A environment in this industry for us?
Adam Aron: Sure. So we ended the third quarter with $363 million of cash on hand. Every dollar of that cash is earmarked. So now is not a great time for us to be diverting cash to other strategies other than running our company well and strengthening our balance sheet. Similarly, we are out of shares. So it's not like under the current situation, we could use share equity capital as a currency for M&A activity. Having said that, over time, our cash reserves will grow from whatever means. And when I look at the M&A environment, it looks quite attractive to us right now. Cinnapolis, a high-quality operator in Europe, bought 14 movie theaters in the United States at 5x trailing EBITDA, 5x. Now it's only 14 theaters. Like you couldn't buy AMC for 5x EBITDA because we're 900 theaters, not 14. But it does tell you that there are plenty of movie theater circuits out there who have less than 1% market share, less than 2% market share, where we, AMC, if we had cash to deploy for M&A purposes, could pick them up at levels at bargain levels and then arbitrage them into being worth much more if they were part of the AMC network. And not only much more merely because we trade at higher multiples than what you might pick up some of these circuits for the cheap, but also because if those theaters were run by AMC, we believe they would do better. We have better marketing strategies. We have better purchasing power. And I think our ability to deliver the numbers bottom line beat a lot of the smaller operators who are still around, and what is still a quite fragmented industry, 40% of the industry is still coming from very small operators. So I think the M&A market is ripe for us to move if we have the resources to move. Today, we don't have those resources. But I can tell you that we are paying a lot of attention to M&A activity. We're still analyzing a lot of potential combinations, small ones, not necessarily big ones. It appears to us there are -- there is opportunity out there for us at hand when it's the right time for us to move intelligently, and that is as we can do it without compromising either our cash reserves or our absolute commitment to strengthening the balance sheet.
Sean Goodman: Final question here regarding the loyalty programs. We provided a lot of additional benefits to our loyalty members recently. And so people are just asking for an update about that. How is that going with things like discount Wednesdays? So we did just add a significant benefit by adding discount Wednesdays to the mix of discount Tuesdays.
Adam Aron: Remember, one of our tiers of AMC Stubs is AMC Stubs A-List. Back in May, we enhanced the benefits of A-List. A-List was quite successful for us before. You used to be able to see 3 movies a week, now you can see 4 movies a week. We made it much easier to use the A-List program because you no longer need to fish for a state ID, a driver's license to get in, you're using A-List just as a flash your phone because we added a picture ID to your profile within our A-List within the app, within AMC app for A-List. So like that's all we did, add a lot of benefit. But the results are just great. A-List started out right after COVID when we reopened theaters in 2020, having only about 500,000 members. It's up to close to 1 million. So that's doubled over the last 5 years. We also introduced a new tier of Stubs, our loyalty program on January 1 called Premier Go, which gives people double the points generosity that a so-called insider, a member of our free tier, gets and gives them other benefits. It's a path to getting from insider to Premier. Premier, you got there by paying $15 a year, now $18 a year, speaking of price increases. Now $18 a year. I guess my marketing department would assist. I say it's $17.99. So it's not quite $18, right? In the consumer head, we only raised it by $2, not $3. But with Premier Go, you get this increased generosity level. It's not all the way to the generosity level of Premier because Premier is a 5x level of discount. But you earn Premier Go not by paying us a $17.99 purchase price, but you earn it basically by seeing -- making 8 visits a year to our movie theaters, which isn't that hard to do. And the number, we didn't have one single member in our Premier Go tier on December 31, 2024. Sitting here today, we have between 600,000 and 700,000 of them. And by definition, they're seeing 8 movies or more a year. Like this is really good for us. So our knowledge of loyalty programs continues to be enormous. We continue to reap great benefits from it. And we're doing this not only in the United States. In 2025, we launched a points-based loyalty program in the United Kingdom. The U.K. has always had -- not always, but it's for a long time, has had actually ever since we bought it in 2016, has had its limitless program, which was a model for A-List. But we now have a loyalty scheme in the U.K., just like we have Stubs here in the U.S. And that loyalty program in the U.K. is also being spread to some of our other country territories across Europe. So this is an area where we know we're doing, and we're -- and it's one of the reasons why we're optimistic for our future. With that, I think is that the last question for today. So I'd just like to close by telling you all, I don't know where you're going to be Friday night, but I'm going to be at an AMC theater watching Nuremberg. It's going to be a really great movie, I think, starring Russell Crowe. And my goodness, the movies we have coming out over the next 8 weeks, it's a parade of one great title after another. I think I can say with some degree of confidence, America and the world is going to be in movie theaters in November and December. We hope we can count you among them. Thank you for listening to us today and joining. We'll talk to you again soon. All the best.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.